Operator: Good day, ladies and gentlemen, and welcome to the Naspers and Prosus results call. [Operator Instructions] Please also note that this event is being recorded. I would now like to turn the conference over to Mr. Eoin Ryan. Please go ahead.
Eoin Ryan: Thank you, Chris. Hello, everyone, and welcome to the Naspers and Prosus First Half 2021 Results Call. On the call with me today is our CEO, Bob van Dijk; and our CFO, Basil Sgourdos. Bob and Basil will walk you through the operational and financial progress we made during the period, and then we'll open up the call for questions. During that section of the call, we'll have the broader management team available to answer questions. As you know, Prosus is a subsidiary of Naspers, and its financial results almost completely account for Naspers' results. So to ensure that shareholders of Prosus and Naspers are provided with the information simultaneously, we're having one results call focusing on Prosus' results but where necessary, we'll highlight the impact on Naspers. And with that, I will hand the call over to Bob. Bob?
Bob van Dijk: Thanks, Eoin, and thanks, everyone, for joining the call today. The world continues to grapple with the effects of COVID-19, and many countries are having back into lockdowns, and we remain in a period of great uncertainty. And I wanted to start this call with my very best wishes to you where you are in the world, and my hopes that you and your loved ones are keeping safe and healthy. So on the call today, Basil and I will take you through the operational and financial progress of the group as we navigate the current operating environment as well as hit some of our key priorities for the coming year. So the first half of 2021 was challenging to operate in, and I'm proud of how the group has navigated the tough time that we saw. So overall, we performed well ahead of the expectations we had back in March when visibility was severely limited. So today, we're 8 months on, and we're operating with a greater degree of clarity and our business have become fundamentally stronger. This is driven first by an acceleration of usage levels in consumer Internet and second by our business's scale and our preparation for such a shift. So I'm confident this will manage value for our shareholders over time. So let's start on Slide 5 by looking at the highlights of a strong period. We adapted very quickly to the new operating environment presented by COVID-19. So our businesses are naturally positioned to benefit from the shift of consumer time, spend and habits to online, and this is a clear evidence during the period. So as a group, we delivered the strongest set of results we've delivered in quite some time with revenue and trading profit growth accelerating meaningfully. We closed several important transactions as well. We enhanced our market positions in key verticals and classifieds. We increased our exposure to digital remittances and payments, and we made a more significant push into the fast-growing FX space that has been transformed this year. Importantly, as stock valuations expanded, we remain disciplined in deploying capital. We have roughly $10 billion in gross cash, and we have now built up the flexibility to invest across our segments and in our own stock when there's an opportunity to create value. Three weeks ago, we've announced our intent to do just that and purchased $5 billion in shares of Naspers and Prosus. As we continue to trade at a very steep discount to our net asset value, I'm confident that this will create substantial value. Let's now turn to Slide 6, which summarizes our strong financial results. Basil will discuss it in more detail shortly, so I'll just highlight on our key points. So group revenue grew 32%, driven both by Tencent and an impressive 51% growth from our e-commerce portfolio, which accelerated from 28% growth in financial year 2020. This acceleration in e-commerce growth was driven by very strong growth across Food Delivery, Etail and Ventures as well as a strong recovery in the Classifieds and Payments segments in Q2. The trading profit and core headline earnings growth was also strong. Turning on to trading profits, we saw a particularly significant improvement from businesses, but we have been investing to scale ecosystems over the last few years, most notably, in Food where losses reduced by almost $100 million and in Etail, which recorded its first-ever period of profitability. Turning to Slide 7. The chart on the left-hand side captures nicely what we have seen play out firsthand in our operations. And what I've alluded to on this call. And that is the rapid and exponential adoption of online models over a very short period of time in 2020. So this chart is based off ONS and the U.S. Department of Commerce data, and it shows the equivalent of 7 years of gains in share of online retail in just 1 month, which is really selling. And as we approach the back end of the year, it's clear that these trends are continuing and becoming more structural. We're seeing this in our own Etail and Food Delivery businesses, where our platforms are providing new and cycled demand for 3P sellers and for restaurants. For example, in Brazil, iFood became an absolutely essential platform for restaurants and it added 98,000 new restaurants of a base of 160,000, which is outstanding. Also seeing this trend play out in Classifieds, Online Payments and also in Edtech, where our investments have become significantly more valuable this year. So let's move to our operating segments, starting with Classifieds on Slide 8. So the OLX Group had an eventful year, and it's making substantial progress. Over the last few months, we completed the merger of OfferUp and letgo in the U.S. and the merger of Dubizzle with EMPG in the Middle East. A few weeks ago, we also completed the acquisition of a leading real estate vertical in Brazil, Grupo ZAP, and this is representing a major expansion into the real estate vertical, and it's giving us access to 70% of online agents in Brazil. We continue to focus on strengthening our presence in key verticals and rolling out new convenience models, such as pay-and-ship, which already has good traction in Eastern Europe and in other markets. In Russia, Avito has gone from [indiscernible] as a multi-vertical leader. This year, we ramped up marketing substantially to drive market share gains and enable the business to grow. Within Europe, Poland is our largest market and again, the focus here is on full verticalization into jobs, real estate, autos and general investments. The creation of OLX Autos brings together our auto classified platforms with transaction capabilities from the Frontier Car Group, which we acquired last year. So you should expect us to continue to expand OLX ecosystem to get closer to the transaction, to our partners and to end customers as the business develops into a highly profitable market leader. So in terms of growth, our food businesses has had a breakout year, as we show on Slide 9. What we've seen in 2020 confirms our view that Food Delivery represents a massive opportunity, and overall growth has accelerated this year. In the period, our Food Delivery segment grew GMV by 69%, while trading profits improved by 33% to $178 million -- $187 million. Growth was driven by increased customer loyalty to increased frequency of monthly orders and by restaurant loyalty to reduce churn. Outside of our investment in Delivery Hero, which reports its results separately, our business have been impacted in very different ways. So in Brazil, iFood's results have been outstanding. So iFood grew orders by an impressive 111% and revenue by more than 200%. Importantly, the iFood platform has provided the opportunity for many businesses to continue to operate during the pandemic. It's provided them with much needed demand when the alternative food have been to close their doors. In the first 6 months of the year, iFood added 9,000 new restaurants onto the platform [indiscernible] 160,000, which is great. And it is now processing 44 million orders per month in Brazil. The 1P delivery business has performed strongly, and it has increased its share of total orders to nearly 35%. This growth has translated into an almost $100 million improvement in profitability, driven by continued strong order growth, more effective marketing and more efficient driver reading. iFood acquired SiteMercado in September, which is an online grocery platform in Brazil. This will help iFood to expand its product assortment and offer customers greater convenience. Swiggy in Indian, on the other hand, was negatively impacted by severe lockdowns, which materially impacted the supply of restaurants from the platform. So while the restrictions hit revenue, the management has used the opportunity to drive efficiency and to position itself for future growth. The trading losses improved by a meaningful 40%. The core of Swiggy business remains strong, and encouragingly, in recent months, Swiggy has been on a steady recovery. At the end of September, calendar month, September, business was operating at approximately 90% restaurant capacity and at 80% to 85% of pre-COVID-19 order levels. So that takes me to Slide 10 to Payments & Fintech. Overall, PayU reported strong results, and it grew revenue by 29% year-on-year. And that's despite a very slow start to the period in India due to the pandemic. So overall revenue in total actually accelerated year-over-year, driven by a strong performance in Europe and in Latin America. Trading profit was flat over year and this is because we increased our stake in PaySense in December 2020 and with that came an increased share of the business losses. This offset the growth and profitability from the core PSD business. Regionally, our business in Europe and LatAm grew payment volumes by more than 50% as more transactions shifted online and local regulation supported digital purchases, particularly prevalent in Poland, Romania, Turkey and in Colombia. India, which is our largest market, was initially negatively impacted by lower transactions in the travel and in the hospitality space. So last year, travel generated 17% of TPV and this dropped to 3% this year. As a result, we only saw a 5% year-on-year TPV growth in India in Q1. However, as lockdown regulations eased and new sectors like financial services and e-commerce saw increased rates of digital payment adoption, TPV growth in India bounced back to 43% in Q2 in local currency. This increased diversity in category mix will benefit us in the long term, in particular, when travel and hospitality recover. It's also worth mentioning that Turkey was our fastest-growing market after strengthening operations with the acquisition of Iyzico last year. In August, we also invested a further $53 million into Remitly, which is our investment in cross-border remittances. During the period, Remitly saw a 200% increase in new customers as consumers moved to online remittances instead of offline. In credit, during the period, we pared back the business in India as the regulator initially imposed a loan moratorium. Given the relatively small size of the book, credit losses as a result of COVID-19 were not significant. But we have now expanded our product offering, and we are optimistic about the credit opportunity in a more normalized environment. If I can take you to Slide 11, I think it's worthwhile to spend some time on our Edtech portfolio. It's another area where we've been early investors and an area which has grown significantly in value. So including the recent investment in Skillsoft, which is due to close in the new year, we've invested $1.1 billion in 7 businesses, and we're already seeing excellent returns. So the sector has strong momentum and our enthusiasm has only increased this year. So COVID-19 is really providing a generational tailwind for the segment. In the last 6 months, the considerable amount of demand has been brought forward and broader user needs have emerged. The amount of progress in a short period of time is really stunning. In August, we also invested in Eruditus executive education. It's a company that offers postgraduate education by partnering with over 30 universities including the likes of Howard and IT in Colombia. They've already launched 100 courses in 80 countries. We've now committed $500 million into Skillsoft, which is the world's leading corporate digital learning company. It has 45 million learners across more than 70% of Fortune 1,000 companies. The business has scaling users and revenue and in profit, and once the acquisition of Skillsoft closes, it will represent a very attractive way to extend its leadership position by driving further consolidation in the industry. On the right hand of the slide you can see the momentum for all of our investments. Udemy, for example, saw more than 400% growth in enrollments and Byju saw 180% growth in students on top of very high growth rates over the last few years. With the global pandemic it's becoming increasingly clear to us that all areas of schooling and professional life can and will be augmented by Edtech and students and employees will need to continuously redo. I'm really pleased with the progress in Edtech. In a short period of time, we have learned a lot, and we've created a significant amount of value and with this Skillsoft investment, Edtech is on track to become our next segment. Let's now go to Slide 12 for a look at how we deployed capital so far this year and our general priorities for capital allocation. To simply put, we look to invest in growth assets operating in growth markets, so we can make a return for our investors as far in excess of our cost of capital. And this philosophy drives our decision-making and applies to all potential investments, big or small. Our ambition and intent is to deploy capital across each of our core segments to enable them to scale profitably to leadership positions. In each of these segments, we have already created substantial value, more than doubling our investments. In the first half of financial year '21, we invested close to $600 million, mainly in Classifieds, in Payments and in Edtech. There are a few additional deals still left to close and the M&A pipeline remains strong. We will continue to stay disciplined, which is the key to good returns and also to our ongoing ability to maintain impairment rates below Tencent. So when valuations are high globally, we can take advantage of our financial flexibility to crystalize more value for shareholders to investing in ourselves. This is why we recently announced a $5 billion share repurchase program. The details are on Slide 13. So Prosus will buy back and cancel up to $1.4 billion worth of its own shares and Prosus will buy up to $3.6 million shares of Naspers. These shares will be held in treasury by Naspers and excluded from Naspers' per share financial metrics. And we see this as an excellent opportunity to create value for our shareholders, and buying back shares is an investment in a group's current strong Internet portfolio, it's a good use of capital given full market valuations in consumer tech and their sizable consolidated discount to net asset value. So we are lucky to be in a position now where we can comfortably invest in our business and in our stock and we believe this will generate a strong return. And I'm very pleased we've come into this position. It really reflects the evolution of the group, and it's made possible by continued operational improvements and the increased financial flexibility that Basil and his team have been working on for years. So we remain committed to reducing the consolidated discount and work is ongoing to Naspers. The upper orders action that is lasting an impact and it maintains our long-term focus to invest and deliver good returns for our shareholders. Action that we've taken to benefit both spend off to shareholders and limit friction costs for our shareholders. So the buyback underscores our commitment to build and crystalize value across the group over the long term, as we outlined on Slide 14. Over the course of the past 10 years, we've invested $13 billion across our businesses, and the portfolio is now worth more than 3x that. And we've worked hard to crystalize that value for shareholders over time. You can see here on the right that we've been locked over $20 billion for shareholders. There remains a significant opportunity for us to create even more value. You will see from the results today that our e-commerce businesses continue to make exceptional progress with 61% overall revenue growth and a significant improvement in profitability and cash generation. And it is essential to ensure this value is reflected in our share price, which today I need is clearly not the case. And are continuing to take sensible financial and structural steps where possible, such as a share buyback, we can increasingly unlock this value. So with that, I'll turn the call over to Basil. Basil go forward.
Vasileios Sgourdos: Thank you, Bob. Hello, everyone, and thank you for taking the time to join us today. I hope you're all keeping well and staying healthy. In this time of uncertainty and challenge, I'm very pleased with the strong performance we've seen. As Bob mentioned, we've adapted very well, and the group is operating with a great deal more clarity than we had during the first phase of the pandemic. While forward visibility remains challenging with rise in COVID-19 cases in some of our markets and the uncertainty of the longer-term impact of the pandemic, I believe we emerge as a stronger company. The results are the strongest possible endorsement of the significant long-term value creation potential of the high-growth markets, business models and segments we're invested in. A very important takeaway for you, our shareholders. Before I dive in, as always, a quick reminder and a few housekeeping items. Both Naspers and Prosus have reported their results today. Naspers results reflect that of Prosus almost entirely. For that reason, we'll be focusing on Prosus numbers. We report revenue and trading profit on an economic increase basis. Meaning they include our proportional share of the results of our associates and joint ventures. The results of our associates, Tencent, Mail.ru, Delivery Hero, Swiggy and others are reported on a 3-month lag basis. It's particularly important when considering trends due to COVID-19. Importantly, free cash flow is a consolidated number and for associates and joint ventures only captures the dividends they pay us. And finally, as I work through the deck, I will focus on local currency growth, excluding the impact of M&A. So let's get going. And if you could please turn to Slide 16, overall, we weathered the storm well and ended the first half year with a strong financial performance and improvement across all financial metrics. Revenue for the period was $12.7 billion, growing 32% year-on-year. E-commerce revenues grew even faster at 51% year-on-year, supported by Food Delivery, Etail and Payments & Fintech and our Edtech businesses. Trading profit grew 43%, driven by improved scale and unit economics in Food Delivery and by our Etail business. Our shares of Tencent's revenue and trading profit grew 28% at 32%, respectively. This reflects China's early recovery from the pandemic and the strength and resilience of Tencent's business model. We remain very excited about the company's future prospects. Core headline earnings were $2.2 billion, growing 29% year-over-year, driven by improved profitability from our e-commerce unit and Tencent. Finally, free cash flow improved meaningfully year-over-year, with the group generating $370 million in free cash flow, which is a substantial improvement. We ended the period with a strong balance sheet. With almost $10 billion in gross cash and net cash of approximately $4.5 billion, we have the financial flexibility to both invest across our asset portfolio and in our stock. So turning to Slide 17, you'll see that e-commerce revenue grew significantly. Growth accelerated 23 percentage points year-on-year. Food Delivery, Etail and the core payments business all did well. They executed well in difficult times to capture the opportunity created by the acceleration in consumer Internet growth, which Bob covered well earlier. Classifieds revenue declined as its business model is most affected by the pandemic. Our revenues declined on par with our peers in the first quarter. However, as restrictions were relaxed in many of our markets, by the second quarter, we continued to grow comfortably ahead of our peers. If we turn to Slide 18, you will see revenue growth flowed nicely to the bottom line, reflecting improving unit economics from scale. Trading losses improved by 26% from a loss of $416 million to a loss of $316 million, a $100 million improvement. That's a healthy 10 percentage point gain in trading margin. Food Delivery was the standout for the period with margins improving 61% benefiting from scale and lower customer acquisition costs. Etail reported a trading profit of $20 million compared to a $15 million loss in the prior period, which is just outstanding. It's incredible to see how quickly the team organized to satiate the dramatic increase in demand for services. Have also taken considerable action to support government pandemic efforts in their home markets as well as enabling new third-party sellers looking for away through access customers online. COVID-19 negatively impacted Classifieds trading profit, however, we've seen a good rise in profitability in recent months in payments, which stepped up investment in longer-term growth initiatives. So let's get into the financial performance of our segments, starting with Classifieds on Slide 19. Our Classifieds segment was the most impacted by lockdown restrictions. The first quarter of the period [indiscernible] in key markets, but the business recovered strongly and steadily in the second quarter as lockdown restrictions were relaxed. Most recently, however, as COVID-19 cases have risen in some of the Classifieds markets, we remain somewhat cautious on our outlook. In our traditional Classifieds business, revenues grew 4% for the 6 months. Classifieds revenues, excluding transaction revenues dropped 8% in the first quarter as traffic volumes dropped when markets went into lockdown. We supported our partners with targeted initiatives like extended listing durations and discounted listing fee to help them through the crisis. These initiatives had a short-term negative impact on revenues and profits. We also invested behind innovation and find new ways for people to trade on our platforms. We've invested in new services like payments, shipping capabilities, virtual real estate and client inspections. We're also investing in enhancing the user experience and engagement. The second quarter saw a steady recovery in revenue as support measures were phased out. Core Classifieds revenue grew 16% in the second quarter. Avito performed well in a difficult environment, growing 10% year-on-year in the first half. Following the revenue decline of 4% in the first quarter, the business grew strongly by 23% in the second quarter. We are using the opportunity to invest incrementally to gain market share, particularly in key verticals. This does lower margins initially but enables Avito to drive record volumes of user and platform activity and gain market share. We will continue with this as long as it delivers sustainable long-term gains. Poland, the Ukraine and Romania continue to gain momentum, building on a healthy ecosystem. Despite the impact of COVID-19, trading margins remained strong at 44%. Poland has also recovered well and continues to make good progress. We see opportunity to increase investments in our key verticals and in paying ship capabilities, which is beginning to show real traction. You will see a pickup in investment in the second half of the year. OLX Brazil was hard hit by the pandemic to restrictions and consequently recorded a revenue decline of 5%. However, as Bob mentioned earlier, growth has now resumed. Margins have improved to 20%. The recent acquisition of Grupo ZAP places us firmly in the #1 spot in the underpenetrated online real estate classified segment. Turning now to our transaction business, which was initially hit hard by the pandemic. During lockdown restrictions in the first quarter, the majority of our inspection and retail transaction centers closed, resulting in a 52% drop in the first quarter revenue. As lockdown restrictions lifted, transaction centers began to open and return towards pre-COVID levels. The second quarter ended with approximately 90% of the transaction centers open again and revenue returning to higher levels. Losses for the transaction centers increased in aggregate during the period, reflecting our acquisition of a controlling stake in Frontier Car Group. This means that we now include 100% of the losses from Frontier Car Group compared to only 36% last year. I've called out a couple of times on the slide that as you think about the remainder of the year, you will see an increase in our marketing and other investments. This is consistent with prior year trends but is also driven by investments to build out our ecosystem. With the actions we are taking in the Classifieds segment and the encouraging trends we are seeing, we remain confident that our business will continue to do well over the long term. So moving to Food Delivery on Slide 20. While the impact of the pandemic differed by region, the segment was a real bright spot in the period, boarded by our response of consumer trends that we believe will significantly benefit the industry long term. We provided much needed respite to tens of thousands of restaurants who are able to keep their doors open we worked hard to keep our employees and delivery partners safe, providing additional employment opportunities at a critical time for so many. For the period, our Food Delivery segment doubled revenues to $610 million and reduced losses by almost $100 million to $187 million, an exceptional performance. iFood continues the momentum it had built up prior to the pandemic with order frequency, order value and the key KPIs hitting record levels. This showed impressive revenue growth of 234%. Our decision to invest and build differentiated capabilities is at the core of the strong performance. Delivery Hero also continued to execute incredibly well. Over 6 months ended June 30, 2020, order volume declined 93% to $519 million, with revenues growing 87% year-over-year. We are also encouraged by Delivery Hero's continued investment to build out a broader service offering. Previous performance was different as we have previously told you. Early in the crisis, Food Delivery was hit hard by the lockdown. Since then, however, momentum has picked up and the trends are positive. The business has steadily recovered and is nearing pre-COVID levels. As Swiggy is reported on a 3-month lag, we expect the impact of COVID to carry through into the second half of the year. Our shared service revenues grew 17% over the period. Trading loss contribution for the period improved meaningfully. Management used the breathing space with the low activity creation to look at the entire business and take action that positions them well for the future and to drive growth. Looking forward, it's important to note that as restrictions ease and in-restaurant dining normalizes, it will be difficult for the food segment to attain the rates of growth we have seen over the past 6 months. So while we expect revenues to continue to grow strongly, but pace of growth will accelerate somewhat. Consumer acquisition investment will also increase as we continue to expand our ecosystem. Moving on to Payments & Fintech on Slide 21. The segment's performance like Food Delivery differed by region, but was on balance and other price part. Once again, we mobilized fast to capture an acceleration of consumer trends and managed to offset the sizable drop in verticals such as travel that have been hard hit by the pandemic. Revenues grew 29% to $252 million, driven by transaction payment value growth of 37% with over 700 million transactions processed. Europe and Latin America, making up our GPO business, performed very well. The business grew strongly throughout the pandemic with revenues strongly up in the first quarter and remaining robust at 44% in the second quarter, despite the lifting of lockdown restrictions in many markets. I would expect growth rates to take off in the second half but will remain strong. In India, where we are #1 in terms of online payments volumes, we had a tough start to the year. Revenue fell 10% in the first quarter as activity levels dropped, particularly in travel. As restrictions eased and e-commerce in India resumed its rapid growth, the business would have sharp and grew revenue 21% year-on-year in the second quarter. Overall, the core Payments business improved margins by 7%. As you know, in recent years, we've been focused on broadening our fintech ecosystem in core markets such as India. In the full year 2020, we stepped up our investment to a controlling stake in PaySense, a fast brand online consumer lending business. This is what got a larger year-on-year losses for the segment. As you would expect, during the last 6 months, we've been cautious following the pandemic negative impact on the Indian economy, and have held back on new loans. We'll await more substantial signs of recovery before we again drive growth as we move forward. Turning now to Slide 22. Where we unpack the increased contribution to central cash flows from our profitable e-commerce businesses. This is an important slide and demonstrates the cash flow generative ability of the group. Over 60% of our e-commerce revenue now comes from profitable businesses. This compares to 54% last year. Consolidated trading profit from these businesses increased 20% year-over-year driven by Etail and Payments & Fintech. This was partially offset by a lower contribution from Classifieds due to the effects of the pandemic. We expect Classifieds to rapidly recover, boosting overall profit growth. Our share of Tencent's dividend grew 21% to a sizable $458 million. This continues to be a significant underpin of our increased financial flexibility. Now let's dig deeper into the cash flows on Slide 23. Free cash flow for the 6 months was an inflow of $370 million, a considerable improvement compared to the $14 million in the prior year. The progress was driven by e-commerce due to lower losses from Food Delivery, excellent working capital management, particularly in our Etail segment, an $81 million increase in Tencent dividends. Unlike last year, this year we did not have onetime transaction costs for the Prosus listing. Moving to the balance sheet on Slide 24. Over the years, the group has worked hard to increase financial flexibility. We've built a portfolio of e-commerce assets with significant cash flow generating capabilities. We increased leverage, and the average interest rate of our debt has declined steadily. And we remain good allocators of capital. Our balance sheet remains healthy, with $4.5 billion of net cash, an undrawn $2.5 billion revolver and the ability to raise additional debt. We remain committed to the investment grade rating. This increased financial flexibility allows us to execute on M&A, to enhance our core segments and invest in our stock. Before I close, I will touch on the buyback we will be launching shortly. Bob's covered this extensively, but I wanted to cover some of the accounting aspects. Firstly, in the books of Prosus. The Prosus says that our Board will be canceled. Prosus will account for the Naspers purchase shares as an investment. Investment will be marked to market at every reporting period and gains and losses will be taken through other comprehensive income in the Prosus results. Secondly, for Naspers, share purchase by Prosus will sit in treasury shares. Naspers will exclude these shares owned by Prosus in its per share ratios. We will execute the program in an optimal manner, focusing on creating value for our shareholders. I also want to reiterate what Bob said, this repurchase program should not be viewed in isolation and is not the solution to reducing their discount. Management and the Board remain committed to reducing the consolidated discount through a variety of means, and we will discuss them with you in more detail as and when they come. Finally, just a quick housekeeping item. As you know, we published a lot more detail on our website to help you understand the operations and to model the numbers. We have, for the first time, added an Excel KPI sheet. I know many of you have asked for this in the past, and I hope you find it useful. So in closing, I'm very pleased with our results and our position as we enter the second half of the year. This has clearly been a very challenging time. As a group, we have met these challenges head on and have exceeded our expectations. As I've said, we're operating today with a great deal of more certainty than we had in March. We will continue on as we have, operating with discipline, with a close eye on our business and ready to take strategic action where necessary. The results are the strongest possible endorsement of the significant long-term value creation potential of the high-growth markets, business models and segments we're invested in. This is a very important takeaway for you as shareholders. With that, I'll hand the call back over to Bob to close this off.
Bob van Dijk: Thanks, Basil. Before we have the questions, I'd like to summarize our key priorities when we look towards 2021 and beyond. So that's Slide 26. So first, the fundamentals of our business are very strong. And each business is actually well positioned to benefit from the operation of secular growth trends that's driving the Internet space. The second is around that we remain focused on driving profitability and cash generation in our more established e-commerce segments, while we are investing for growth in Food Delivery, in Classifieds transactions, in credit and an Edtech. Third, our financial flexibility has improved and is enabling investment across our operations and our stock. Fourth, we will continue to retool and improve the competitiveness of our platform by investing in products and technology and talent and by reinforcing our AI capabilities. And fifth, there is significant amount of opportunity to create value through the growth of our business and by narrowing the discount to our net asset value, and we remain committed to both. So with that, I want to thank you for your time so far, and let's open the line for questions.
Operator: [Operator Instructions] Our first question is from Lisa Yang of Goldman Sachs.
Lisa Yang: I have 3, if possible. The first one is on Food Delivery, where clearly, the performance has been really impressive in H1. And you mentioned the improvement in profitability was driven by better operating leverage and lower marketing costs. So I'm just wondering like how do you think that profitability -- improving profitability trend is sustainable, especially as the environment normalizes into H2? And I know you don't give guidance, but do you think we're now in a position to potentially break even sooner in that core Food Delivery business, let's say, on the 1- to 2-year view? That's the first question. The second one is on eMAG. I mean the business has turned profitable, as you said, and is going to benefit from COVID. So just given your comments about tax valuations being high, I'm just wondering whether you could take advantage of that situation and maybe crystallize your value in the eMAG in the short term? That's the second one. And third question is actually on the buyback. I mean my understanding is that it seems like there's been a bit of a change in tone regarding the buybacks. I'm just wondering, should you see the recent buyback announcement more as a one-off? Or do you think it could be a more recurring part of your capital -- future capital allocation policy? And how do you rank that versus, for instance, deploying cash for M&A or cash to invest organically in the future?
Bob van Dijk: Thanks, Lisa. Thanks for your 3 questions. On the first one, maybe I'll start, and I'll hand over to Larry to add color from more proximity to operation. I can also speak briefly to eMAG and on buybacks, I will start and then Basil wants to continue, which, I mean he can do so. So on Food Delivery, indeed, we see results improve, and it has helped profitability because of, as you say, leverage and reduced marketing costs. And when it will sustain? I think based on what I've seen so far, I think a lot of it will sustain because what we've seen is that customer groups who previously hadn't tried Food Delivery have now tried it or people have been using Food Delivery for different food occasions that they like. And their Net Promoter Score is actually across the businesses are extremely strong. People are, therefore, having a great experience when they're using these products. And if we look under the hood, I don't think -- there's no reason to believe while that sort of trial and sort of usage in different occasions is something that would go away completely. So it's hard to forecast exactly what the growth will look like, but it looks that a big part of the shift that we have seen is a structural shift that we expect will actually sustain. But maybe, Larry, you want to comment based on your observations.
Larry Illg: Yes. I think you covered most of it, Bob. The only point that I would add is we have a pretty good lens on the consumer cohorts. And so what we can see, and we're far enough into the pandemic, where many of the pandemic age cohorts are more than 6 months old. So we can see how they're performing versus historical cohorts. And this is -- I'm speaking in very broad brushes across over 40 markets that we observe. Broadly speaking, the cohorts look as good or better as the cohorts sort of pre COVID. So it speaks to what Bob mentioned, just the quality of users that have been brought in remain strong. And if anything, it's giving us an advanced view on the future of the sector and further growth opportunities in adjacent categories. So it's -- the consumer quality is quite high.
Bob van Dijk: And the second part of your question, like, does this change sort of our views on breakeven. Well, we don't give guidance, but we've seen indeed the profitability part of the businesses to significantly improve based on what has happened during COVID. It also has frankly given us confidence to invest further. So I think it's been generally a very positive story. If I move on to eMAG, eMAG is an outstanding asset, and it has a very clear user position in Romania and a number of other Eastern European countries, and it had excellent growth as well. And actually, one of the things that really excite me about eMAG is that how they build that initial position in Etail and they started very much as a first-party retailer that have built a great ecosystem where they empower other sellers. They've also really improved their offering by going into last mile logistics, the government to food delivery. They are creating a great loyalty program. So I would say even though the numbers are incredibly impressive, I would say the best eMAG is you have to top right, there's really clear strategic runway and no current plans to delist it. I think actually, it is a tremendous growth story from here as well. Then on the buyback, I think your question was, this is -- should we see this as a one-off or continue that? I think the most important thing on the buyback is the rationale behind it, right? The rationale is that we have the financial ability to continue investing in our core assets, but also make use of this phenomenon where I think we -- our efforts are because of the discount price very very cheaply. So that in itself, that philosophy will hold for the future. What exact position we will be in -- is hard to forecast their position, hey, if we have the capital to invest in our business and to buy back shares at a good discount to net asset value that will make sense at any point in time. Basil, do you want to add to that?
Vasileios Sgourdos: Well, I think you hit the nail on the head. We've got $5 million to deploy. That's going to take some time. Once we've done that, we can see where we're at. And then we'll make the capital allocation decisions accordingly. The focus now is on growing the business and improving financial flexibility and giving ourselves the room to be able to deploy across multiple capital allocation opportunities. So that's what we're focused on.
Operator: The next question is from Will Packer of Exane BNP.
William Packer: I had a couple of topics I wanted to cover. Firstly, there's been a lot of news flow on Chinese Internet regulation. But it was one particular aspect, I hope you could comment on. Some investors are concerned on the comments in the press that VIE structures may be in focused. Are you concerned or in fact, could it be a good thing that these structures are more regulated? And then the second topic I wanted to go into was around online car dealing. We're seeing lots of capital in the U.S., U.K. and elsewhere invested in the online car dealing opportunity. At Frontier Car Group, you have a very strong position in C2B in many interesting markets and a nascent B2C position. How aggressively are you planning to roll out your B2C online car dealing offering? And what are the challenges in the markets you operate because your sort of geographic exposure is a little bit different?
Bob van Dijk: Yes. Thanks for your questions. Well, I think on [Technical Difficulty]
Operator: Ladies -- our apologies, Mr. van Dijk's line is dropped again. We will begin back shortly.
Eoin Ryan: [indiscernible] I think, Charles, do you want to take the question on VIE.
Charles St. Leger Searle: I can certainly do so.  Yes, Okay. Let me take that. So as Bob returns. Well, yes, thanks very much for your question. As you rightly pointed out, there's been a lot of commentary in the press recently in relations, particularly in the context of the antitrust draft rigs that came out. I think maybe just to comment on that, I think there's been somewhat of a misunderstanding in relation to many of these press reports. The inclusion of VIE under the same regulations that came out, it was really -- we view it as a [indiscernible] from an avoidance of doubts perspective, just to say that these new regs regarding antitrust sort of include all internet companies. And within that grouping, of course, should be those Internet companies that operate under VIE structures. So there's -- there were some reports in some press reports that VIEs would have to obtain special approvals and the like. And it's really nothing of the kind. That is rather erroneous reporting in that respect. Insofar as VIE is concerned overall, I mean, as you're well aware, VIEs have been around for a long time. I mean, it's over 20 years right now. They're very widely used, and they have worked well during that time. It's fully understood by the Chinese authorities and as you know, any time there is a listing that is required, as an example, the approvals of the authorities and the Chinese regulatory authorities are required for that. So they've worked well during this time, and we'd see no reason for this to change.
Unknown Executive: Great. And is Bob back?
Bob van Dijk: Yes, I'm back and maybe, Martin, if you mind, sticking to the online car dealer opportunity and Frontier Car Group business?
Martin Scheepbouwer: Yes. Thank you for your question, Will. So you're right. We essentially at both the C2B, we buy cars from consumers, sell to dealers and B2C, we facilitate the offloading of dealer inventory towards consumers already under our umbrella. And both have their merit. What we're doing now is on top of that building and what we then call a C2B2C business where we manage the entire value chain from a consumer willing to sell a car to us. And then after light refurbishment, we sell the car on to another consumer, preferably with a suite of supporting products like finance, insurance, title deed transfer, warranty and so on. And the reason we do it is, is that what consumers want. They fundamentally want more transparency, trust and some convenience in the Prosus. And it gives us access to the new revenue and profit pools. And yes, this part of the business is still fairly nascent. It's most advanced in Chile, but we're rolling out what works to more scalable markets like India. With regards to the main challenges there, they're mostly executional. We have no doubt that this is something consumers want, strong, let's say, mirror companies in form of Guazi and Carvana to show that this business model has lots of runway. But there's a number of things we need to do to build that infrastructure, both in software and in -- on the ground presence, and that takes some time, and that's why we're doing that diligently and to make sure we allocate our capital efficiency.
Operator: The next question is from Ravi Jain of HSBC.
Ravi Jain: I had 2 quick ones. The first one is just overall, when I look at the capital allocation and the pace of investments. Now the size of your NAV is probably north of $250 billion and when I look at the total investments on an average in a year is maybe somewhere between $2 billion to $3 billion. Do you think it makes sense? Or do you -- would you consider maybe increasing the pace of these investments, maybe via more transactions or higher ticket to kind of maybe move the needle more every year? And the second one is a follow-up to an earlier question, where if the valuation is pretty attractive today, generally in the public markets, and it's clearly not reflected in your stock, do you consider maybe even listing assets rather than even selling but listing it, like, for example, eMAG, Avito or potentially even OLX?
Bob van Dijk: Yes. Thanks, Ravi. I'll give you an answer and Basil wants to after, more than welcome. So when it comes to increasing the pace of investment, I think it's really important to take a factor. And we have periods of times where will need and that's the more and we have to carry the times when we invest the last. I think we actually essential part of when we evaluate investments that we think they have to make strategic sense. And we want to may [indiscernible] shareholders. And that's -- depending on what you then get into the pipeline that is really what decides whether we invest or not. So I think if you would say, we want to substantially increase the pace of investment, we cannot let go a strategic framework particularly to something that we understand, believe and create synergies, and we need to deliver for our shareholders that otherwise, we are investing and creating and creating a business that we don't want to create. So could you see us increase sales, yes, if we run into the right opportunities with a great return profile that enhance the business we have, but we're not going to spend more money for the sake of stacking money fast. And I think that people understand that there's a recent past, and there are probably not necessarily looking back at what great sense of pride. And the second question on listing assets, I think that's a fair point that we have actually, over the years, listed many assets that we've invested in. And I think that is definitely sort of a barrel in our quiver that we will deploy when we think the time is right. But again, I think the most important thing for us is you do that when you want to crystallize value and you think that's the best option for a certain business, not to react to the market. Basil, you might want to add.
Vasileios Sgourdos: Only one thing, Bob. So we also have some fantastic companies in some really big markets. And there's an opportunity to plug onto what those businesses do and build the ecosystems. And we've demonstrated that we can build great businesses that grow fast and become profitable. So -- and we should be very comfortable deploying capital organically. And given that we're still in the very early stages of the segments we're in and the sizable markets we're in, those are going to create meaningful value. But I've told you earlier, we've tripled capital investments from $13 billion to $30 billion. It's no reason why we can't keep doing that. So with organic investment, too.
Operator: The next question is from Cesar Tiron of Bank of America.
Cesar Tiron: I have 3 questions. Sorry about that. The first one would be on if you can give some examples of operational changes you've made during COVID, so we all have seen the tailwinds or the headwinds faced by these different businesses. But just wanted to ask if there's any specific changes you have made to these businesses over the past 6 months, which would allow them to set them up for faster growth when these COVID tailwinds end or for Classifieds, maybe to allow them for higher profitability when the headwinds end? And then I think the next question would be on online education. So you've been investing quite significantly in the past year and increased a little bit your disclosure on these assets. So there, my question would be to understand what prevents you to make it officially one of your verticals? And if there's scope for consolidations among these assets? And then finally, last question on iFood. I think this is the second time in a row where revenue growth was ahead of GMV. So I suspect that last time, this is really driven by subsidies, which are decreasing. Can you please discuss the dynamics there and whether there is scope for these subsidies to decrease without necessarily impacting GMV growth going forward?
Bob van Dijk: Yes. Thanks, Cesar. And maybe I can start on the last one because there's relatively simple answer. Maybe, Larry, if you even talk maybe about consolidation and FX and then I think there are several examples of changes thereto the business, and that anybody want to chime in can do so. So I have a certain issue examples. I think the main reason for the revenue going faster than GMV in iFood is actually the shift from 3P to 1P. That's really the story there because you see the 1P percentage go up quite quickly, and that drives revenue much, much faster than a drive GMV and that actually the effect you see there. Maybe, Larry, do you want to say a little bit about consolidation and FX? I know you would need to speak intelligibly about that.
Larry Illg: Yes. I can't touch for the eloquence of the answer. I think it will be pretty straightforward, though. I think with Edtech, it's -- and it's a multifaceted sector. So I don't want to paint with too broad of a brush. But generically speaking, we have a lot of companies that are really coming of age as a result of the pandemic and bringing demand forward by years. And I think that gets a lot of the companies and investors in the space excited about what the future holds. And as part of that, I think consolidation is just natural. And we're seeing more and more investment activity alongside the consumer activity in the last couple of months. And as is true of most sectors, consolidation will be pursued when it makes sense and certainly see more activity there.
Bob van Dijk: Yes. And the other part of your question there on FX, Cesar, is like what is answers from developing a real segment. But I think in terms of at the investment thesis, it's clear, we're deploying more capital over time line. I think we will transition it into a segment. We're working through the details on when that is the right timing, but I think that's definitely the direction of travel. Then on specific examples of changes in the market, I would say there is quite a few examples that come to my mind are, for example, I mean, Mark maybe you can talk to doing virtual inspections of cars. I think in Food Delivery, I think we've seen a lot more sort of partnership with restaurants, integration with restaurant systems where when you are the only customer or the main source of customers of restaurants, I think if you create a more sort of natural period of partnership that is left through further integration. But Mark and Larry [indiscernible] China and how you see structural change in the business that will help going forward?
Mark Sorour: Yes. I start both. So thank you for pointing that out. And indeed, there has been a number of, let's say, adjustments, I would say, to product priorities during COVID. It as all geared towards meeting new or changed customer requirements, obviously. So people could not leave their homes, so we made sure they could order on OLX or Avito from the couch and organized for last-mile delivery, where that was not yet possible, such as in Russia. We also allowed people to virtually see houses they might want to buy or rent. So software to enable that was basically either created or given more priority. Both Bob and Basil already referred to the impact of social distancing on the ability to operate physical car inspection centers at a trough, very few, we're still allowed to be open. Now they're back up to a large degree, but capacity is still somewhat limited due to all the health and safety measures. That's why we put particular emphasis on alternative ways to evaluate the value and the condition of cars we purchased through home inspectors through self-inspection and so on. And I think that's positive. I think ultimately, anything that makes the business more efficient and more customer-centric is a good thing in the long run. And in the meantime, we were also prudent on hiring, on marketing and so on, which gave us some profitability benefits in the short term. But I expect, as Basil already alluded to, to reverse that when -- if and when opportunities arise to invest again behind growth opportunities. But yes, the impact of accelerated innovation, Christmas simplicity, I think, is a positive one already now and also in the future.
Larry Illg: And I guess I'm happy to go next quickly on food. So I think in general, our teams responded very quickly to address safety and business sustainability. That was early stages of pandemic and that allowed them to shift once they sort of got a read of the landscape to shift towards operational transformation. And a handful of examples that I can call out quickly. In some examples, it would mean moving more quickly towards online transactions, removing cash increasingly from the transactions be the opening up of new kinds of order engagement. So we saw our businesses move towards restaurant takeout versus formal delivery in some cases. And the last one I'll point is you have these businesses, especially as they skew towards first-party that have an unbelievable reach and driver network. And you can use that infrastructure and those consumer relationships and high NPS to open up new sectors that might be in demand as a result of the pandemic. I think the one that's most prominent in most folks' minds would be things like grocery. So again, get the situation under control and then leverage that reach and operational infrastructure to do new things.
Bob van Dijk: Yes. I think growth is a great example, Larry. But maybe in the interest of time, those are good examples, and I suggest we move on to give some others chance to ask a question.
Operator: The next question is from John Kim of UBS.
John Kim: Congrats on a good set of results. Two questions, please. Last time around the listening of Prosus call a year plus ago, I think the team intimated that there were certain restructurings or optimizations that that team Prosus wanted to engage in before potentially moving down between below a 70% ownership level for Naspers. Question on the progress of that kind of restructuring or reorganization, is that largely done? And then if I could ask Larry and Bob to speak to extension into grocery? How we should think about that? Do you see that's a logical extension of the retail platform or are the margin is a bit too competitive?
Bob van Dijk: Thanks, John, for both questions. I think Basil, I'll ask you to talk a little bit around the sort of the follow-on steps on Prosus valuation. There are a lot of you waiting hours on that. On grocery, I think we talked about it for an hour. And Larry will say more sensible things. But I think if you have the infrastructure, you can deliver in urban areas from many to many locations in a time-critical way with half an hour delivery window, there is an unbelievable asset to leverage into further user needs. That will be my short answer to how I think about grocery. But, Larry, maybe you want to add?
Larry Illg: Yes. I think it's -- John, it's the question is an extension of retail, I think the starting point matters. So it's obviously, from a top-down perspective, grocery is interesting, but really the bottoms up view matters. Bob, to your point, what's our starting point? Do we just have consumer reach? Do we have a central warehouse? Do we have a driver network? And depending on our starting point and also what the consumer needs are, different models might make sense, at a more convenience model on marketplace, a central warehouse kind of model. So I think from -- at least from my perspective, we look at it in both ways. Top-down is a compelling in a given situation and then do we have the right to play? And what's the right approach to play?
Vasileios Sgourdos: Then, John, to your first question, so look as we went into the pandemic, a couple of things happened. Our business started to recover fast, Internet valuations start to go up, and we meaningfully outperformed the JSE and after what was coming, I saw that we were going to rapidly add to our market cap and to our rating. So -- and we move very quickly. We pulled the team together, and we started working hard and that work's continued. We want to be very, very concerted here. So we've looked at many options. We don't want to exclude any of them. And we have our own ideas, we've heard ideas, and we're doing fundamental work on all of those. We're leaning in on a couple that are interesting, but they require more work. It's not a simple thing. It's not just about tax. There's 2 sets of shareholders. There's regulation. There's a whole bunch of other things that need to come into play. And what I want everyone to take back from this is we're working as hard on this as we are in the business. It's important to us. It's important for our shareholders and we want to make progress. And then we're ready will come back and tell you what that progress is.
Operator: The next question is from Catherine O'Neill of Citibank.
Catherine O'Neill: Well, 3 questions, actually. One on the Classifieds. I just wanted to see if there's been any impact on Lockdown 2.0, I guess, in some markets or more restrictions in terms of whether you've had to offer any discounts again? And given your commentary on investment plans in the second half, the Classified should we expect the trading profit or loss to be a loss for the year? Second question is on iFood and the merger in Colombia and what your plans there are in terms of how sort of aggressive you want to be given the position that you have in that market and whether you see any other opportunities within that or whether your focus is mainly on Brazil and now Colombia as well? And then finally, on the payment side of things, I think you mentioned, obviously, credit lending has sort of stopped for the moment or the plans of a credit lending have slowed, but you've been investing in growth initiatives in payments and stepped up those investments. Could you maybe talk about some of those other growth initiatives within the payments area that you've been investing in and you plan to invest further in?
Bob van Dijk: Yes. Thanks, Catherine, for your questions. I think the questions naturally distribute themselves. So Martin if you would in mind talking about Classifieds, and Larry, I'm sure you can speak to the Colombia merger and then Laurent, the payment question is yours. Maybe, Martin, you want to go first?
Martin Scheepbouwer: Absolutely. Yes. So as you've been able to see the trading profit in the first half was almost $12 million, considering the inclusion of the full FCG and the impact we initially saw on the lockdown that result that we're very happy with. And yes, going forward, of course, we live in an uncertain world, and it'll largely be crystal balling, but for now, we haven't yet had to give discounts to paying professionals on any of our large platforms. We do see activity in jobs and in cars are meaningfully impacted by the second wave in many countries. As car dealer has to stock up and companies are even supply constrained and companies are hesitant to hire. So some uncertainty to remain. But overall, the trajectory of recovery has been very steep, and that continues to this moment. What is important to note is that -- what we've always done is we'd like to call oil fire. So when things work, we push ahead and do not hesitate to benefit from an opportunity to drive growth or gain market share, which we'll continue to do also in this second half. So especially in Russia and in Poland, we see those opportunities, which will continue to drive. But then on the back of what I think will be much better economics than we saw a few months ago.
Larry Illg: Yes I'm happy to go next on LATAM. I think to your question, Catherine, I think Brazil is clearly in focus. And we're excited about the potential of iFood in that market, but we're not blind to the broader LatAM opportunity. We're very excited about the opportunity for a combined entity between iFood and Domicilios, as in most cases, consolidation makes sense. Of course, pending regulatory review. But when we're on the other side of that, we'll -- you'll see a business that has the largest footprint in Colombia with over 12,000 restaurants and operates in over 30 cities across the country. And consistent with our other food delivery platforms truly becomes a platform that we can use to not only build that own Food Delivery business, but other adjacent businesses on the back of it.
Laurent Le Moal: And regarding payments, it's Laurent here. So I can think of 3 big initiatives that we have going on at the moment. One is around the growth for the small and medium business segment in our business. Most of the growth that we've seen is coming from e-commerce, but not just for large merchants, but also the growth purely on SMB accelerating their plan to sell online. So actually, we've invested quite a lot to automate all the onboarding of these SMBs, and this is true across all of our markets from LATAM, Central Europe to India. So that's what, the growth of SMB. The second one is specifically to India, we serve 3 types of customers, merchants, of course, with our payment gateway, consumers with our credit business and then banking partners. And about a year ago, we acquired a company called Wibmo, which is now fully integrated into our business. And actually, we have invested in terms of money for the platform, but also people to actually accelerate the plans to serve the banks with our platform to actually process all the payments for them. And we are in a position where we manage most of the car transactions in terms of security, which is an added value services for all the banking sector in India. So we believe that this will give us a very strong position actually to reinforce our positioning with the banks in the market. And the third one is actually regarding credit is what we have done there is effectively stop the issuance of personal loans to new customers because we didn't have a good read on the risk in the market. But actually, we have continued to serve our existing customers without buying out a later product, which is called LazyPay. And actually, that product has continued to grow. We serve right now about 1.5 million customers every month with a very high repeat rate of 90%. So actually, we stopped the issuance of personal loans, continue on BNPL. And actually, what the team has done is continue to innovate to bring new products like installments using the UPI platform. So when we are ready to go back to the market, we will actually add a new set of products to offer. So these are the 3 initiatives.
Operator: Ladies and gentlemen, we have time for one more question. The question is from Ziyad Joosub of Nedbank.
Ziyad Joosub: Just 2 questions from my side, please. The first question is on pay-and-ship. If you could maybe give us a bit more color through the COVID crisis, has your strategic outlook for this particular product class changed, specifically in Central Eastern Europe and Russia? And what are your thoughts on pay-and-ship in the U.S. and classified markets? Do you see an opportunity there? And then the second question is on online food. Given that you've scaled up your 1P business in Brazil, could you maybe give us a bit more color on what the contribution margins are for 1P versus 3P, specifically in the Brazilian market at this stage and how you see it evolving?
Bob van Dijk: Yes. Thanks, Ziyad. I think, Larry, that the second question is certainly in your count. I think the trends are generally quite positive. Mark, maybe you want to talk us through your views on pricing for pay-and-ship and the outlook you have for different markets.
Mark Sorour: Absolutely. So -- so thanks, Ziyad, for taking that because pay-and-ship, as you point out, I think, has gained a strategic importance over lockdown. As I pointed out earlier, it was always a solution for distance trade between cities when people had difficulties meeting up in-person. But it has more widely spread over the lockdown for 2 reasons. One is that people want to order from the comfort of their own home. And second, a lot of small businesses that had to close their physical store over so declining food traffic moved online, and then we're one of the channels they can use. So we've invested significantly to improve the experience and the speed of delivery and the network especially in Russia where we already were active, but extended the, say, the service levels. And we accelerated the rollout in Poland and in Brazil, and we pretty much continued what we had in -- which is a bit more mature in Ukraine and a few other places. And going forward, I think we'll do more of this. And I think that's one of the major, let's say, growth pillars under the -- especially the East European side of the business. In the U.S., I also think there is potential. We are minority in the letgo combination. So we're not driving all initiatives, but that is one of the things the team is looking at because believe it or not, but even though companies have alternatives in the U.S., they don't have elsewhere with Amazon and eBay and many other channels to at their disposal. The strength of offer up now after induction of letgo is so significant that for many such SMEs, it's become a channel of force and similar to other markets, we want then to facilitate that with a pay-and-ship solution. And as we see results come in, we'll share them with you.
Bob van Dijk: Excellent, Mark.
Larry Illg: Yes, sorry. I could just hop in on the iFood profitability. As Bob said the trends are positive, and it gives us a view into the future in a COVID context, and we can see what Food Delivery looks like, especially on the first-party side at further scale. No surprise to folks on this call as the business benefits from ongoing leverage as a predominantly logistics model. And what we can see, not just for iFood, but I think globally is that first-party can be run profitably. And while on a percentage basis, it's hard to see how it will ever be as high as a third-party marketplace in terms of percent profitability. But we can see contribution coming from this space. We're seeing it now. And it's especially important as we can see that the future growth in the category will predominantly be 1P. So it's nice to see that the profitability that, that side of the business can generate.
Operator: Ladies and gentlemen, you have no further questions at the moment. I'd like to hand the call back to Mr. van Dijk for the final comments.
Bob van Dijk: Yes. Thanks very much. And sorry, I think I already started closing call too early, but I wanted to thank everybody for many very interesting questions asked. And I hope you share our excitement about these results, but actually, more importantly, about I think the potential on the growth for the businesses that we discussed for the time ahead. I think there's a lot to look forward to, and we look forward to talking to you about it in about 6 months. So thanks very much, everybody.
Operator: Thank you very much, sir. Ladies and gentlemen, that then concludes this event, and you may now disconnect.